Operator: Thank you for standing by. My name is Bella, and I will be your conference operator today. At this time, I would like to welcome everyone to the authID Third Quarter 2024 Earnings Call. All lines have been placed in mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. I would now like to turn the call over to Graham Arad. Please go ahead.
Graham Arad: Thank you, operator. Greetings and good afternoon. This is Graham Arad, General Counsel of authID. Welcome to the authID third quarter 2024 results conference call. As a reminder, this conference is being recorded. With me on today’s call are our CEO, Rhon Daguro; and our CFO, Ed Sellitto. By now, you should have access to today’s press release announcing our third quarter 2024 results. If you have not received it, the release can be found on our website at www.authid.ai under the Investor Relations section. Throughout this conference call, we will be presenting certain non-GAAP financial information. This information is not calculated in accordance with GAAP and may be calculated differently from other companies similarly titled non-GAAP information. Quantitative reconciliation of our non-GAAP adjusted EBITDA information to the most directly comparable GAAP financial information appear in today’s press release. Before we begin our formal remarks, let me remind everyone that part of our discussion today will include forward-looking statements. Such forward-looking statements are not guarantees of future performance, and therefore, you should not place undue reliance on them. These statements are subject to numerous risks and uncertainties that could cause actual results to differ materially from what we expect. Some of these risks are mentioned in today’s press release. Others are discussed in our Form 10-K and other filings, which are made available at www.sec.gov. I’d now like to introduce our CEO, Rhon Daguro.
Rhon Daguro: Thank you, Graham, and thank you all for joining us today. I am very excited to cover our third quarter results and provide an update across all of our initiatives. authID had a highly productive quarter, and I’m pleased with our progress and our overall path of growth. Turning to Slide 4. We are focused on accelerating and diversifying revenue growth. To do that, we must continue to improve our technology, widen the gap from our competitors and assure our customers that we are offering the best technology, superior security and customer delight. It is very important for authID’s product leader to have the depth and experience to help us reach $100 million in ARR and beyond [ph]. And so we are excited to welcome Erick Soto as our new Chief Product Officer. Erick brings over 15 years of experience in identity verification and financial services and has a proven track record in driving product innovation. Combined with our history of collaboration and building a uniform company, Erick positions us to further strengthen our platform and deliver exceptional value to our customers. I also want to cover the news we issued earlier this week announcing that authID has signed a $10 million agreement with a next-generation AI company to enable biometric authentication for a wide range of industries in India. This agreement represents a $10 million commitment over a three-year period with a minimum commitment of $3.3 million each year for licensing authID’s identity platform services. We are incredibly excited to enter the Indian market where over the next 10 years, the biometric authentication industry could see exponential growth in transaction volumes as the demand of biometric identification continues to rise. We look forward to closely working with our new partner to deliver biometric authentication accuracy and a frictionless user experience to a wide variety of customers across banking, financial services, emergency services and transportation industries in India and beyond. We also made good progress in securing new customers and OEM contracts in Q3. We signed a multiyear agreement with a global retail technology organization, which will leverage our biometric identity solutions to enhance digital experiences for multinational retailers and serve as an OEM reseller in the Asia Pacific market. This customer deal was over $1 million in contract bookings, adding another booking over $1 million coming out of our FAT 100 target. Further, we entered the telecommunications sector by signing an agreement with a broadband provider operating in all 50 states, enabling them to streamline and secure onboarding through our biometric identity and document verification solutions. Next, I want to highlight some recent customer Go-Live and the successful adoption of our solutions. Last quarter, I was excited that we took four customers into Production Go-Live. And I’m even more excited to do it back to back. For the second consecutive quarter, we have taken four customers to Production Go-Live and the best part is that two deals signed in Q3, went Production Go-Live in the same quarter, matching our current time estimates for Go-Live, which can take three to six months depending on the size of the company. We recently made key staff appointments to bolster our sales initiatives. I’m very excited to add to our team, Donna Shawhan as VP of Partnerships and Erick Akre [ph] as VP of Sales, both of them specializing in financial services. The additions of Donna and Erick further emphasize our commitment to expanding our go-to-market reach. We hired these identity domain experts because of their fantastic track records, and I’m confident they will bring tremendous value to our clients. Continuing to Slide 5. We are seeing growth in the usage of our Proof and Verified products. Looking at the graph on the left, let’s start with our Proof product. The average number of Proofs processed per quarter before I joined was approximately 20,000. From the time we re-launched the company in June 2023 to June 2024, the number of identities processed per quarter has gone up approximately 25x to an average of 440,000 Proofs. We are also seeing a strong ramp in volume in the third quarter of 2024 with almost 800,000 Proofs being completed, which is nearly double the average volumes we processed during the earlier quarters. And finally, over the last 12 months up to the beginning of October 2024, authID has processed more than 2 million Proofs, which is more than 50x the transaction volume compared to the years before I started. Looking at the graph on the right, our Verified product is also seeing great ramp since I took over. Historically, authID registered approximately 600 user identities per quarter. Since the reboot of the company in June 2023, the beginning of October 2024, we have registered an average of 21,000 user identities per quarter, which is 42x growth. Even better, the third quarter has shown strong growth of more than 94,000 registered identities, a greater than 4x increase from previous quarters during this period. We are really pleased to see our usage ramp finally showing up in Q3. However, at the same time, we have experienced delayed customer Go-Live and adjustments to their volume expectations that have pushed out anticipated revenue from 2024 to 2025. In consideration of these delayed customer Go-Live and volume adjustments, we have reduced our full year revenue guidance to a range of $800,000 to $900,000. Ed will walk us through the financials shortly. And while we are disappointed to bring down our guide, I want to emphasize that this is still 4x growth over last year, during which I was only fully operational for six months. Again, the fact that we have successfully signed customers and taken them live within the same quarter shows significant improvement, demonstrating that we are much more capable today than we were six months ago. As we sign more clients and ramp customers, our revenue and RPO projections will get much more consistent. Moving to Slide 6. We have invested heavily in improving our technology and in making significant innovations that will unlock adoption of using biometric authentication. We made significant strides in advancing privacy capabilities by completely eliminating every single privacy and compliance concern for adopting biometrics. Very large enterprise customers have told us they are only doing technology evaluations with authID because we have eliminated privacy and compliance issues associated with storing biometric data. They have always wanted to use biometrics, but were hesitant due to the potential liabilities while regulations for biometrics are still being enacted. One customer said they would have to hire a compliance officer who specialized in biometrics if they were to use a biometric solution. All of that concern is completely gone with our release of version 4.0 with PrivacyKey. authID can now provide evidence-based identity verification without compromising user biometric privacy. This is critical as the world moves away from passive and predictive-based identity verification and moving towards evidence-based identity verification. In addition, we have achieved a tremendous leap in accuracy with a false match rate of 1 in 1 billion. Simply explained, for every set of 1 billion people, we may get it wrong just once. And with 8 billion people on the planet, we would only get it wrong 8x. This is near perfect accuracy. This is far more accurate than the NIST standard of 1 in 100,000 or Apple’s face ID at 1 in 1 million. In this new release, we continue to go faster in processing speed, and we have added more capabilities to liveness detection to combat AI and Deepfakes [ph]. In addition, we have focused on user flow by improving the algorithms for document capture to improve completion rates as well as enhanced de-duplication capabilities to clean up identity records where fraudulent accounts can exist. And lastly, to make sure we properly serve our enterprise customers, we have completed the integration needed to incorporate authID into their platform. I am proud of our team and our third quarter accomplishments, and we remain focused on executing our strategy and driving growth to finish the year strong. With that, I would like to turn over the call to our Chief Financial Officer, Ed Sellitto.
Ed Sellitto: Thank you, Rhon. As Rhon highlighted, we continue to execute our strategy and expand our market reach to report growth during the quarter. The following highlights compare our GAAP results for the quarter and nine-month period ended September 30, 2024, with the quarter and nine-month period ended September 30, 2023, unless specified otherwise. Looking at Slide 7. Total revenue for the quarter was $249,000 compared to $43,000 a year ago. For the nine-month period, total revenue was $687,000 compared with $118,000 a year ago. Operating expenses for Q3 were $3.8 million, flat compared to the prior year. For the nine-month period, operating expenses were $10.7 million compared with $7.6 million last year. The 2024 increase is primarily due to a onetime non-cash expense reversal in Q1 2023 of $3.4 million from the reversal of certain stock-based compensation related to employee terminations, which was not repeated in 2024. Net loss from continuing operations for the quarter was $3.4 million, of which non-cash charges were $0.6 million compared with a net loss of $3.7 million a year ago, of which non-cash charges were $1.6 million. For the nine-month period, net loss from continuing operations was $9.7 million, including $2.2 million in non-cash charges. This compares to a net loss of $16.4 million for the same period last year, which included $10.4 million in non-cash and one-time severance charges with approximately $7.5 million related to the exchange of convertible notes for common stock in 2023. Net loss per share for the quarter improved to $0.31 compared to $0.47 a year ago. For the nine-month period, net loss per share improved to $0.97 compared with $3.05 for the same period last year. Next, let’s turn to RPO on Slide 8. We also monitor and manage our Remaining Performance Obligation or RPO, in accordance with GAAP and as noted in our financial statements. RPO provides a measure of the minimum revenue expected to be recognized from our signed contracts based on our customers’ contractual commitments. Before I get into our RPO results for the quarter, I wanted to take a minute to illustrate the way that RPO is determined in our business and how it flows into revenue over time. This slide illustrates the progression of RPO into revenue for a particular deal. In this case, a deal was $10 million in RPO signed in the fourth quarter of 2024, which we announced earlier this week. The $10 million in this example is calculated by looking at the contracted usage minimums or cARR of $3.3 million per year over a three-year contract term. In other words, three years times $3.3 million per year equals $10 million in RPO. This $10 million will be recognized over time as revenue as highlighted in the cARR column in dark blue. As the revenue is recognized, the RPO balance highlighted in the purple bars on the left will decrease accordingly until all revenue is recognized. Lastly, as discussed in prior earnings calls, UAC or Usage Above Commitment highlighted in the light blue bars is expected to contribute additional revenue beyond the RPO as the customer ramps volume beyond contractual minimum levels in the second and third contract year. In summary, RPO represents the grand total of cARRs associated with each customer contract and transitions into recognized revenue over the term of the contract. Moving to Slide 9. As of September 30, our total RPO was $3.8 million, a decrease of $0.4 million over the prior quarter. Due to the impact from certain customers that have delayed their Go-Live and expected usage ramp, as Rhon referenced earlier. As we sign more customer contracts, there will be less variability with respect to our RPO numbers. The Q3 RPO includes deferred revenue of $0.3 million. Deferred revenue represents advanced payments received, which are not yet recognized as revenue. The current RPO also includes $3.5 million in additional non-cancelable revenue, which has not been recognized under contracts that were signed in 2023 and through the third quarter of 2024. This compares favorably with the RPO at the same period last year, which was approximately $1.9 million. We expect to recognize the full RPO of $3.8 million over the entire life of the contract, which are typically signed with a three-year term. Over the next 12 months ending September 30, 2025, the company expects to recognize revenue of approximately 27% or $1 million of the $3.8 million in RPO based on contractual commitments and expected usage patterns. Given the additional insight we now have on our Q4 pipeline and bookings, we also expect to grow our RPO to a range of $13 million to $14 million by the end of the year, up from the previously stated target of $12 million to $13 million. While the RPO is based on contractual commitments as agreed to by our customers, the expected time to recognize revenue is based on our best estimates given the current known facts and circumstances. Of course, while RPO is based only on minimum contractual commitments, we have reason to believe that each of these customers will eventually exceed the minimum commitments. Now on to our non-GAAP results on Slide 10. Adjusted EBITDA loss was $2.9 million for Q3 compared with a $2.1 million loss for the same period last year. For the nine-month period, adjusted EBITDA loss was $7.8 million compared with a $6.0 million loss for the same period last year. The increase in EBITDA loss is primarily due to reinvestment in employees and contractors following the Q1 2023 restructuring. We also monitor and report on ARR or annual recurring revenue, which is defined as the amount of recurring revenue earned during the last three months of the relevant period as determined in accordance with GAAP multiplied by four. The amount of ARR as of Q3 increased to $1 million compared to $0.2 million of ARR as of Q3 last year. Turning to bARR or Booked Annual Recurring Revenue, which is the projected amount of annual recurring revenue we believe will be earned under contracted orders looking at 18 months from the date of signing of each customer contract. The gross amount of bARR signed in the third quarter of 2024 was $1.15 million, up from $1.02 million of gross bARR a year ago. The gross amount of bARR signed in Q3 also increased quarter-over-quarter from the gross bARR of $0.6 million signed in Q2. Our Q3 bARR included expansion into telecommunications and retail technology use cases. Net bARR, which reflects the deduction of bARR from contracts previously included in reported bARR that were subject to attrition during the quarter was approximately zero dollars compared to $1 million of net bARR signed in the third quarter of 2023. The reduction from gross to net bARR in Q3 is due to the impact of certain customers that have delayed their Go-Lives and expected usage. As previously explained during our first quarter earnings call, bARR comprises two components, which we refer to as cARR and UAC. cARR or Committed Annual Recurring Revenue represents the total annual customer contractual commitment through fixed license fees and minimum usage commitments. These commitments are directly recognized as revenue in each contract year after the customer goes live with the service. Q3 2024 cARR represents $0.61 million, approximately 53% of reported bARR. UAC or Estimated Usage Above Commitment is an estimate of annual customer usage that will exceed contractual commitments. The Q3 2024 UAC represents the remaining $0.54 million or 47% of reported bARR. Turning to our revenue growth stages on Slide 11. As we work to build a sustainable recurring revenue stream, we continually review our progress through the following revenue growth stages. The first milestone we use to monitor our growth is bookings as measured by bARR. For the nine-month period in 2024, we realized a total gross bARR of $1.88 million, approximately a 48% increase over the same period in 2023. Regarding our customer financial commitments, we monitor our revenue performance obligation or RPO. As I detailed earlier, as of the end of the quarter, we secured over $3.8 million in RPO, a $1.9 million increase over the RPO secured by the end of Q3 2023. Our third reporting metric is revenue recognized in accordance with GAAP. Our year-to-date revenue of $687,000 grew substantially over the same period in 2023. And as our customer contracts mature, we will increase our focus and monitoring on customer retention and expansion. Key efforts will include refining our sales and support methodologies to deepen our customer relationships and increase the value added by our services through continued usage growth, use case expansion, renewals and the sale of new relevant products. Looking at our full year targets and guidance for 2024 on Slide 12. As Rhon mentioned, while we were pleased to see our usage ramp showing up in Q3, we were expecting to see this ramp sooner. As a result, a portion of the revenue anticipated in 2024 will be shifted out of the year, which has impacted our full year guidance. Considering these delayed customer Go-Lives and adjustments to their volume expectations for the full year 2024, we now expect revenue in the range of $800,000 to $900,000 based on the contracts we have in place and as we continue to monitor our customer implementations throughout the rest of the year. While not the 7x year-over-year growth we originally expected based on our signed contracts, this would still represent a 4x year-over-year revenue growth. Looking to booked ARR. Our sales pipeline grew in the third quarter to over $33 million. Based on this robust growth and projected close date as well as the large customer contracts announced earlier this week, we remain committed to our previously stated target of $9 million in bARR for 2024, which represents a 3x year-over-year bookings growth. And as I mentioned earlier, we also now expect to grow our RPO to a range of $13 million to $14 million, up from the previously stated target of $12 million to $13 million. With that, operator, we would now like to open up for questions.
Operator: [Operator Instructions] Your first question comes from the line of Ricky Solomon with Wilmot Advisors. Your line is now open. Please go ahead.
Ricky Solomon: Hi Rhon. Congrats on the order from India. Could you expand upon that a little? And then I have a couple of follow-ups.
Rhon Daguro: To much of keeping the privacy of the customer. But certainly, it is a partner in India that is focused on generation AI coding and coding development. So what does that mean? Basically, they’re a platform that will basically act like thousands and thousands of human developers and now utilizing a generation AI platform to do that coding and probably 1/4 of the time. Those applications that are being coded predominantly in the region of India and beyond are being shipped with user name password as the default cybersecurity protocol. And the partnership really puts in place that authID will be the default OEM security provider for all those applications. So it’s a fantastic partnership in that we’ll be able to ship biometrics as a default application to all their customers and clients throughout India and that entire region. So we’re very excited about the partnership, looking forward to doing that and bringing in and delivering for those customers.
Ricky Solomon: Okay. I was wondering if you could help me understand a couple of things. Number one, so it’s great that you brought on new customers and you’re bringing them on faster. But then I’m trying to understand why the revenue guidance for Q4, which is implied in your annual guidance is flat again given that new customers are going live. And then also, the $1.1 million de-booking of bARR since bARR represents revenue 18 months out, I’m trying to understand – I mean, they went – they’re going live slower. Does that mean that, that revenue is now further than 18 months out? Or does that mean that you didn’t estimate the usage properly? I just want to kind of understand that better.
Rhon Daguro: So I’ll take that first part, and Ed, I’ll ask you to jump in on the second part. Essentially, like for the delay, our delays in Go-Lives occur for various reasons. We are focused on supporting the customers and helping them Go-Live. And sometimes they have some issues. And so we’re really focused on preserving that relationship as opposed to enforcing and ruling the partnership relationship as opposed to focusing on getting those customers live. So if they see delays, we’re going to try to work with that customer and work through those delays because once we do get them live, we can start to realize that volume. As I said earlier, we believe we’ll ultimately receive all that expected revenue in 2025 instead of 2024. Essentially, the ramp and getting them live just started happening here in Q3. So all that good news I’m saying in terms of those improvements just came a little bit later and then thus, the ramping started happening in Q3. So this is why we’re reducing the guidance is because we basically ran out of runway. The Go-Lives obviously delay and impact the accounting treatment of our revenue. So unfortunately, that’s just the result of this. We don’t expect this to be a trend though to continue in the future. I, in terms of how we’re doing this as a business, I’m really, really pleased with the usage ramp showing up. I mean if you saw on that chart, we are drastically improving the number of transactions per product over the course of the period over the last six months and over the last year. And even jumping from Q2 to Q3, we’re still seeing double-digit growth on both product side on usage. So from an investor perspective or from an even customer perspective, you want to see adoption and you want to see that growth happening. Again, unfortunately, for us, it came a little delayed. But as we sign more clients, the ramping customers and ramping revenue and also RPO projections and you have more of those to sample against, that will allow us to be much more consistent in our estimates. One of the things that we take a lot of pride in or what we’re trying to do to make sure that we’re very accurate in this is that we are working with our clients to make sure that they have their teams ready and their resources and their projects aligned. Sometimes we sign a customer, they’re ready to Go-Live and then some other major priority comes up. And now instead of being priority number two or priority number three, it gets shifted out three months or two months where they don’t have resources. So we’re taking the steps to make sure that their plan is aligned with our plan. And then secondarily, or making sure that we, as a technology team and our own people are in place and our technology in place to help make sure that the product gets integrated a lot faster. So there’s just a couple of remediations that we’re doing to make sure that we can make this more consistent. And Ed, do you want to take the second part of that question?
Ed Sellitto: Sure. Yes. Hey Ricky. Rhon, I think that what you said all covers a lot of what I would have answered. I would just add that as for the bARR point at the end that we do measure bARR with our expectation of 18 months from contract signing. So in this case of a delayed Go-Live, we – exactly to your point, we reduced the bARR associated with that in the net bARR to reflect the fact that, that revenue ramp will likely happen after 18 months from signing. However, we do still have the customer, and we do are working diligently to get them fully ramped as Rhon just described. And we do have definitely will be working to drive to the original bARR and beyond, although it is not reflected in the net bARR number for that reason.
Ricky Solomon: Okay. Thank you.
Operator: [Operator Instructions] Your next question comes from the line of Gary Brode of Deep Knowledge Investing. Please go ahead.
Gary Brode: Thank you. Hey guys. I’ve got a couple of questions about the guidance you’ve given here. You kept the bARR number for the year, the guidance at $9 million. If I look at Slide 11 in the presentation, it looks like your bARR for the first three quarters of the year was just under $2 million. And then if I go to Slide 8, where you lay out the bARR for the new $10 million contract. We add that up, that looks like about $15 million. So you signed this, it looks like $15 million bARR contract, plus another almost $2 million. Why is the bARR number for this year – are you looking for $9 million? To me, it looks like it should be [indiscernible] million if it were just where you were plus the new customer.
Ed Sellitto: Yes. Rhon, I can take this one. Hey Gary, nice to hear from you. Thanks for the question. I will just clarify the calculation on the $10 million contract. I think that might help here. So for the $10 million of RPO that we discussed in the deal that was announced earlier this week, three-year – over a three-year period, that’s $3.3 million per year in cARR. So the UAC on that deal would be another $3.3 million per year for a total of $6.6 million in bARR. So contract cARR of $3.3 million, UAC is about double that, $3.3 million for a total of $6.6 million. Adding that $6.6 million of bARR to the $1.9 million in Q3 year-to-date bARR leaves us with $8.5 million of bARR if you just added those two together. We do have the pipeline that we believe will at least close the remaining $500,000 gap and get us to $9 million bARR for 2024.
Gary Brode: Got it. Okay. So you were going off the max number, not the total number. That makes sense. The other question I have for you is a little bit of a follow-up from what Ricky was asking. But the last couple of quarters, you’ve had large increases in revenue as you’ve started to onboard customers and that started to ramp. Given that you had that book of business that was building, and I understand you had delays implementing some of this business in the third quarter. Okay. Got it. But why would revenue be coming down in both the third and fourth quarter? Because that’s what happened and then what you’re guiding to. Why is the existing business not at least going forward? And then whatever delayed implementations you had in the second and third quarter, we’d start to see that in the fourth quarter, right? Or what am I missing?
Ed Sellitto: Yes, I can take that one as well, Rhon.
Rhon Daguro: Yes. Okay.
Ed Sellitto: So yes, our RPO is based on the contractual commitments by each of our customers. In select situations, including customers with delayed volume ramp, we may opt to give a customer a concession in the best interest of the company that would reduce our RPO and retain the customer that benefit from their usage as they grow. So that really, actually, I should say the delay in the Go-Live of the customer is causing us to make a concession in the sense of modifying a contract to move it out to future years. And by extending the term by one year, we’ll reduce the revenue recognized over the remaining period of the contract, the extended period of the contract. And the result of that mechanically from one quarter to the next would be a reduction in the run rate for that customer, which is why we’re seeing the revenue go down just between Q3 and Q4. However, with our expected ramp and exceeding of those minimums as well as new customers coming online, we do expect that to continue to turn in the other direction.
Gary Brode: Okay, got it. Thank you.
Operator: Your next question comes from the line of Ricky Solomon of Wilmot Advisors. Your line is open. Please go ahead.
Ricky Solomon: Yes. So can you talk about some of the types of customers and use cases that you’re looking at in terms of your pipeline? I’d like to look forward a little bit and kind of understand where you think the business is going and what types of customers are using – going to be using the product?
Rhon Daguro: I’ll share as much as I can with you. Obviously, the pipeline is the names are obviously private, but I’ll talk about just in general, the types of customers and clients. We are focused predominantly in the financial services sector. We just came off of Money 20/20 just recently, and our technology and our core team really focuses on financial services. So that’s really the core of where we’re applying our pipeline. We do have additional major verticals outside that pipeline that are not financial services, retail management, hotels, casinos, health care and I already said it, the retail technology. And also Telco, we just signed Telco this quarter as well that we had in the press release. But the pipeline is predominantly in financial services, the banks, those large payments institutions, and we’re in POCs with those organizations now, and we’re hoping that’s what’s going to drive the bigger opportunities here through 2025.
Ricky Solomon: Okay. Thank you.
Operator: Your next question comes from the line of Dean Cederquist. Your line is now open. Please go ahead.
Unidentified Analyst: Hi Rhon. Congratulations on the new contract. Could you give us some color on the financial capacity of the Indian firm that is obligated under the terms of the $10 million minimum commitment contract?
Rhon Daguro: I cannot, unfortunately.
Unidentified Analyst: Okay. I just was wondering what the financial capacity [indiscernible]
Rhon Daguro: I just, Graham or Ed, what can you share?
Graham Arad: Well, we certainly, it’s Graham here. Hi Dean. We certainly believe they’re capable of being able to pay this amount of money, if that’s the question.
Unidentified Analyst: Yes. [Indiscernible]
Graham Arad: It’s a multimillion dollar organization.
Unidentified Analyst: Okay, that’s all I wanted to know.
Operator: [Operator Instructions]
Graham Arad: Rhon, while we’re waiting for another question in case there is one, do you want to talk a little bit more about the two key people that we’ve added. You talked about Donna and Erick very briefly, talk a little bit more about what you expect them to bring to the organization?
Rhon Daguro: Well, as the announcement for the $10 million contract with that partner, as you can see, partnerships are very important to authID’s business. I’ve been talking about this for almost a year now, where in order for the business to start to see accelerated growth in my previous company, we use partnerships to add 262 customers a quarter at that type of speed and that type of scale. And so the way authID is going to scale is through that partnership program. So with Donna Shawhan on board, we finally have a dedicated expert on the partnership leadership front as opposed to all of us we’re working through that leader – we’re working through that partnership focus together. And now we have a dedicated leader that’s going to focus on that. So her job and her responsibility is to not only extrapolate the $10 million commit out of that partnership, but like Ed had alluded to in what our bARR numbers are talking about is we’re actually looking to do more than that usage, UAC and go above and beyond. And so the way we do that is obviously through the partnership channel, and that’s what Donna’s expertise is in. And then Erick Akre on that front, who we added to the organization is a financial services expert. We worked with him in the past. He works on the big fat 100 financial services deals specifically. And in a short period of time from his bringing on board, he has brought in new financial services customers for us to go into POCs with or Proof of Concepts with. So those two additions were very strategic for us. We’ve been waiting for the opportunity to pick up people like that. Obviously, authID had to get to a point of success where we could demonstrate we can close small deals, big deals for us to attract them. And luckily, we did that, and we’ve been able to add them to the team.
Graham Arad: Great. Thank you.
Operator: I will now turn the call back over to Mr. Daguro for the closing remarks.
Rhon Daguro: All right. Thank you, everybody, for listening to the call today. We look forward to speaking with you when we report our fourth quarter and full year 2024 results in 2025. Thank you again for joining us.
Operator: Ladies and gentlemen, that concludes today’s call. Thank you all for joining. You may now disconnect.